Operator: Good morning. My name is Steve, and I will be your conference operator today. At this time, I would like to welcome everyone to the Second Quarter Western Gas Partners Earnings Call. [Operator Instructions] I would now like to turn the conference over to your host for today, Benjamin Fink, Senior Vice President of Finance and Chief Financial Officer. Please go ahead, sir.
Benjamin M. Fink: Thanks, Steve. Good morning, everyone. I'm glad you could join us today to discuss Western Gas' Second Quarter 2012 Results. Joining me on the call today are Don Sinclair, our President and CEO; Danny Rea, our COO; and other members of the management team who'll be available to answer your questions later in the call. Before I turn the call over to Don, I'll remind you that this presentation contains our best and most reasonable estimates and information. However, a number of factors could cause actual results to differ materially from what we discuss. You should read our full disclosure on forward-looking statements, our presentation slides, our latest 10-K, our other filings and our press releases for the risk factors associated with our business. In addition, we'll be referencing certain non-GAAP measures on the call, so be sure to check the reconciliations in our earnings release. As a reminder, you can view and download all of these materials including the slides that we will refer to on this call at www.westerngas.com. With that, let me turn the call over to Don.
Donald R. Sinclair: Thanks, Ben. Good morning, everyone, and thank you for joining us today. As you can see on Slide 3, we recently achieved several important milestones. Yesterday, we announced our Chipeta acquisition which will add to our fee-based portfolio in an area which has benefited from long-term continued growth. We received our second investment grade rating in June, which in turn enabled us to issue 10-year notes with one of the lowest yields in MLP history. We ended the quarter with over $1 billion in liquidity, which allows us to comfortably fund our 2012 business plan without being required to access the capital markets. We also raised our second quarter distribution to $0.48 per unit, which is a 19% increase over last year and represents our 13th consecutive quarterly distribution increase. Yesterday, we announced our second quarter results for 2012. We reported adjusted EBITDA of $75 million and distributable cash flow of $59.9 million. These figures were below our expectations, and I would therefore like to spend some time explaining the quarter's events in some detail. As you may recall, the largest source of our cash flow is derived from the DJ Basin, an area which increases -- which continues to experience increased drilling activity due to superior drilling economics that exceeded 100% rates return in the current commodity price environment. In fact, just this week, our sponsor announced that we'll continue to add horizontal rigs to the basin during the second half of 2012. However, our gathering system was not able to transport all volumes available to us in the second quarter primarily due to delays in receiving the necessary permits to install additional compressors on the Wattenberg gathering system. This has led to throughput being curtailed which has affected our gross margin by approximately $3 million. However, we have now received the majority of the required permits for the remainder of this year's program and by year end, we expect to have installed compression necessary to move approximately 100 million a day, the majority of which will be commissioned in the third quarter. With these installations, we believe throughput on the Wattenberg system will increase in the second half of the year commensurate with increased drilling activity. Our DJ Basin results were also impacted by service interruptions on downstream third-party NGL pipeline and facilities. These interruptions impact our throughput for the quarter and consequently impact our gross margin by approximately $1.5 million. As you may know, our DJ Basin producers are dependent on 1 NGL pipeline out of the basin. In the second quarter, there were a number of service interruptions on this system, including planned and unplanned maintenance, repairs and a power outage due to a tornado. These issues caused volume curtailments in 7 weeks during the quarter. While some issues have persisted in July, we believe they are being addressed and most importantly, the underlying basin fundamentals remain solid as producers continue to add rigs and report positive production growth. Also, our Patrick Draw and Granger processing plants were slightly impacted by 2 weeks of ethane rejection in the second quarter due to lack of downstream fractionation, transportation capacity and petrochemical plant turnarounds. Our largest customers' downstream marketing arrangements and portfolio flexibility should help alleviate these constraints, and they have also contracted for additional transportation capacity at the beginning of the fourth quarter. Moving to a Q1 versus Q2 analysis. As you can see on Slide 5, our second quarter EBITDA was lower than our first quarter due to a cumulative impact of several smaller issues. First, our surface maintenance and repair expenses, which are part of O&M, were higher due to warmer weather repair and replacement activity as compared to the first quarter when such expenses were lower than normal due to relatively mild winter. Second, we experienced an interruption in the short-term processing agreement at Mountain Gas that we discussed in the first quarter. Processing volumes under this agreement will resume late in the second quarter once the customer made pipeline modifications to its system. Third, we were impacted by a gathering rate reset at our Helper system effective April 1. As you may recall, our IPO assets provide for rate resets to target an 18% return on invested capital in the asset. The performance of the Helper system not only exceeded our originally forecasted levels, but our operating team and field personnel did an outstanding job of lowering operating costs. These 2 factors enabled us to achieve our contracted return threshold while reducing the gathering rate. In summary, while our second quarter results were below expectations, we do not believe we experienced systemic issues that will put our current rate of distribution growth at risk. Our second quarter throughput was only 1% lower than our first, and a drop in NGL prices does not have a meaningful direct impact on our overall results. In many ways, the events in the quarter started to validate the strength of our business model as we were able to absorb the concurrent impact of a number of unrelated factors, prefund our Chipeta acquisition with an equity issuance and still end the quarter with a healthy coverage ratio. Moving on, I'd like to discuss our acquisition of Anadarko's 24% interest in Chipeta Processing LLC in more detail. Maybe you likely recall that we acquired a 51% membership interest in Chipeta in 2009, and Anadarko retained a 24% interest after the sale. We did not purchase Anadarko's entire interest at the time because we knew that Train III would soon be constructed and our capability to finance large organic projects was not what it is today. Now with Train III nearing completion and WES having approximately tripled in size in the past 3 years, we believe it's an appropriate time to purchase the remaining 24% interest. While the acquisition is effective as of July 1, for distribution purposes, Anadarko will continue to fund 24% of the remaining forecasted Train III CapEx until completion. Chipeta is a fee-based asset and has delivered consistent throughput growth over the past 3 years. In conjunction with construction at Train III, Anadarko committed 500 million cubic feet of gas per day to Chipeta for the next 10 years. Anadarko has recently announced a lower rig count this week. They also reported 15% spread released efficiency improvements that enabled them to deliver higher well counts and grow volumes with fewer drilling rigs. We're also excited about Chipeta's potential to receive additional volumes via a third-party pipeline system in 2013. This project recently received FERC approval, and we are currently building the necessary interconnects to accommodate these volumes. We estimate that we will incur an additional $3 million of expansion CapEx in 2012 associated with this project. Our $135 million purchase price for Chipeta represents a 7.9x 2013 asset EBITDA multiple. We believe the 2013 multiple is most appropriate because we need to expect a near-term increase in cash flow when Train III is commissioned and another increase in early 2013 when Chipeta is able to receive volumes from the third-party pipeline. The purchase price was funded with cash on hand from our June equity offering plus the issuance of limited and general partner units to our sponsor, Anadarko. As noted on Slide 7, we are updating our full year outlook to reflect year-to-date performance in the Chipeta acquisition from July 1 onwards. As stated in our earnings release, we now expect our full year results excluding the acquisition to be around the low end of our previously announced guidance range. We also expect that additional Chipeta interest, net of transaction cost and incremental G&A, will add $3 million to $6 million of adjusted EBITDA in 2012. Our estimates of total CapEx, maintenance CapEx as a percentage of EBITDA and distribution growth are all unchanged. In closing, I'd like to note that it's been more than 4 years since our IPO in 2008. During this time, the value of our units has increased by approximately 175%. We've increased our quarterly distribution by over 50%, have now obtained investment grade credit ratings from 2 rating agencies, raised over $2.5 billion in committed capital and have completed 9 acquisitions, 7 from Anadarko and 2 from third parties. While today's operating conditions are challenging for our industry, we faced difficult environments in the past and consistently displayed our ability to deliver strong, stable results. Our team will continue to work diligently to create value for our unitholders, and we are grateful for your support. With that, Steve, I'd like to open up the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Bradley Olsen with Tudor, Pickering.
Bradley Olsen - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: As far as -- I know you ticked through a few of the individual items in the EBITDA reconciliation table which is useful, so thank you for that. But I just wanted to make sure I understood, the gross margin and other, which I think accounted for $2.2 million, what was that related to?
Donald R. Sinclair: Brad, I'll let Ben answer that.
Benjamin M. Fink: Brad, that bucket is literally everything else. So there's literally over 100 line items in there. I would say that the bigger movers, since you have a lot of little stuff, is you'll have a change in the throughput mix. You've got a couple hundred grand due to the ethane rejections, so very slight impact. But the important thing to remember is that bucket is very different, and we simply have been able to move the volumes that were available to us at Wattenberg.
Bradley Olsen - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Great. That's helpful. And as far as, I guess, NGL volume exposure, since you guys aren't exposed to prices, really the only thing to watch is kind of -- is volumes and throughput. And what percentage of your volumes are linked to Overland Pass out of the Rockies versus Mid-America?
Donald R. Sinclair: We don't have anything out of the Rockies. God, Brad, I don't know what that split is because it's going to be Granger. Red Desert mountain gas is all going to be Mapple [ph] and basically [ph] DJ is the only thing we have on Overland Pass today. So that's the split. I don't have those numbers in front of me. We can get them back to you, but that's the split of assets and Chipeta -- I'm sorry, Chipeta goes down Mapple [ph] as well.
Bradley Olsen - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay. That's helpful. And I guess, we've seen with some of the shakeups in the commodity and NGL markets over the last quarter, we've seen some of your peers, I guess, some valuations in the midstream space have come off some. Given the low cost of capital that you're enjoying right now, have you thought more maybe than you have historically about any kind of third-party acquisitions or even a corporate acquisition?
Donald R. Sinclair: Brad, we haven't -- we stayed true to our discipline that we've always talked about which is everything that we have to do, can't put our model at risk and it has to be accretive from day 1. So if those opportunities present themselves through third-party and market conditions, we're more than happy to look at them. If not, we'll continue to execute the model we have.
Operator: And your next question comes from the line of Brett Reilly with Credit Suisse.
Brett Reilly - Crédit Suisse AG, Research Division: Quick question on the reduction in the full year guidance. I was just wondering given some of the issues you faced in 2Q, how much of that reduction in the guidance was the result of the issues you faced this quarter versus kind of broader industry impacts and maybe volume trends you're seeing across your assets?
Benjamin M. Fink: Sure. This is Ben. The majority of the 3.6% midpoint reduction is the timing of getting the compressors into the DJ. There are smaller estimates in terms of the timing of certain developments around the liquid-rich areas and the timing of Train III. But aside from -- but the majority is really this DJ Basin issue.
Brett Reilly - Crédit Suisse AG, Research Division: So more of a timing issue than anything else. And then if you were to look across volume trends throughout the majority of your assets, how do you characterize those as you see them today? Are you starting to see any declines on some of the dry gas assets? I guess what -- I guess how would you characterize the trends you're seeing?
Donald R. Sinclair: Brett, as we've said in the past, we've not seen drilling our dry gas assets for quite some time. And so in this current -- the last drop in natural gas prices really had an impact to throughput different than it has over the past couple of years. Relative to the higher-margin liquid-rich areas, we still continue to see growth in our volumes there. So really, the biggest headwind we've had has been in the dry gas side, with the exception of the DJ Basin permits that Ben mentioned earlier.
Brett Reilly - Crédit Suisse AG, Research Division: Got it. And any plans for the billion dollars of liquidity that you guys have left for the remainder of the year? Should we expect another drop down acquisition as we move into -- to the fourth quarter? Or is this prefinancing just to help with the organic growth that you guys have ahead of you?
Donald R. Sinclair: Brett, if you think about it, we've been pretty easy to follow our pattern of acquisitions. I don't see any reason why that pattern is going to change. As far as liquidity, as you know, we have a very robust capital program this year, and it's going to take a considerable amount of cash to fund that. So I would probably focus more along those lines.
Operator: Your next question comes from the line of Sharon Lui from Wells Fargo.
Sharon Lui - Wells Fargo Securities, LLC, Research Division: Just a quick question in regards to the drivers for the variance in Q2. Can we think of, I guess, most of these issues being pretty much resolved in the third quarter except for, I guess, the Helper reset and potentially the DJ Basin takeaway issues and that should take care of itself, I guess, starting in 2013?
Benjamin M. Fink: Sharon, it's Ben. The short answer is yes. I mean just to go through it real quick, the OpEx issue was really an issue of quarter-over-quarter lumpiness. Year-to-date, we're exactly where we think we'll be. Service contract interruption, as we've said, it resumed in June. PPA is a onetime accounting issue that is clearly one time. And Helper reset, you're correct. It keeps going, but it doesn't have a material impact on full year results.
Sharon Lui - Wells Fargo Securities, LLC, Research Division: Okay. And then you did mention that the take away issue should be resolved, I guess, by the end of this year. Is that correct?
Donald R. Sinclair: Well, that's out of our control. That's driven purely by the third-party, and for us to tell you what we think would probably be incredibly inappropriate. They are the operators of the pipe, you can ask them.
Sharon Lui - Wells Fargo Securities, LLC, Research Division: Okay. And then just taking a look at your revised guidance and taking, I guess, the low end of your previous range, does that infer, I guess, for the Chipeta contribution of roughly $2 million to $3 million for the second half of this year?
Benjamin M. Fink: Sharon, it's Ben. Maybe you just missed it in the comments. We're anticipating that Chipeta -- the new Chipeta piece is going to add $3 million to $6 million of adjusted EBITDA for the second half.
Operator: [Operator Instructions] Your next question comes from the line of Helen Ryoo from Barclays.
Heejung Ryoo - Barclays Capital, Research Division: Just a couple of questions. So you mentioned the rate reset at the Helper system. Just wondering, do you have the rate reset mechanism for all assets? Or is it just more for the dry gas assets?
Donald R. Sinclair: Helen, they are the dry gas assets, but it's the original IPO assets from AOA [ph].
Heejung Ryoo - Barclays Capital, Research Division: Okay. Got it. So just from the original IPO assets. And how frequently do they take place? Is it once-a-year type of frequency?
Donald R. Sinclair: Yes. That's when the analysis is done. It doesn't necessarily guarantee that there'll be a rate reset up or down, but the analysis is done on an annual basis.
Heejung Ryoo - Barclays Capital, Research Division: Okay. And you mentioned the ethane rejection for 2 weeks. So at this point, there's no more ethane rejection going on?
Donald R. Sinclair: There's still slight -- there's ethane rejection in the DJ today, but on the other assets, there's not.
Heejung Ryoo - Barclays Capital, Research Division: Okay. And that's because of...
Donald R. Sinclair: That changes with economics and throughput and downstream issues.
Heejung Ryoo - Barclays Capital, Research Division: Right. Okay. Just on Chipeta, so once the new 300 cryo capacity comes online, I guess, I think you mentioned in the press release that, that capacity should be full immediately. So essentially, you'll be bringing -- moving the refrigeration -- the volume at your refrigeration side of the plant to the new capacity. And therefore, would you be having some slack capacity at the refrigeration side? And your cryo trains will be fully utilized? Is that how we should think about it?
Donald R. Sinclair: That's exactly the right way to look at it, Helen. We have the volume pulling through the complex today. That volume will move from the refrig skids to the cryo skids and will create capacity across our refrig. And I want to go back and there has been some ethane rejection at Chipeta. That's a day-to-day, week-to-week decision based on the operation of the plants and economics, but there -- I missed that earlier in your question.
Heejung Ryoo - Barclays Capital, Research Division: Okay. Okay. Yes. All right. Got it. And then on Chipeta, I guess with the new capacity coming online, your contract mix is still would you say 90%, 95% fee and then the remainder, people? Is that still a good mix?
Donald R. Sinclair: It's good -- with the new Train coming on, with the volumes we have flowing through the plant complex today, it's all fee. We'll have -- once the third-party pipeline is connected to us, there will be an opportunity but not an obligation for us to be able to move that gas through the plant, and it will have keep whole like economics.
Heejung Ryoo - Barclays Capital, Research Division: Okay. But I guess -- just to think about it, over 90% -- I mean your contract mix would not change significantly from your existing...
Donald R. Sinclair: No, it would not. No.
Operator: Your next question comes from the line of Selman Akyol from Stifel.
Selman Akyol - Stifel, Nicolaus & Co., Inc., Research Division: Just a quick follow-up on Chipeta and I guess your total capacity there. I believe it was 790 MMcf/d when you include all 3 trains. Is Anadarko going to take all 500 MMcf/d -- or I guess all the cryo and then you'll be -- for third-party to be able to use the refrig? Is that kind of what's there? And what kind of demand would you expect?
Donald R. Sinclair: There's some capacity for third party in Train III, Selman, if you remember. That was part of our upgrade and overall economics on that capital in that facility, and then we'll have the ability to use refrig for whoever's gas is available to the plant inlet.
Selman Akyol - Stifel, Nicolaus & Co., Inc., Research Division: Okay. So just where would you expect capacity utilization to be overall for the plant by the end of 2013?
Donald R. Sinclair: We don't know. Until we get the third-party interconnect in, that's when we will be able to determine that number for you.
Operator: There are no further questions at this time. I'll turn it back to Don for any closing comments.
Donald R. Sinclair: We appreciate everyone's interest and patience and understanding. As we've all said, it's been a very interesting quarter, not only for the industry, but for our sector. And we appreciate your diligence and understanding our model and support in WES. Thank you for your time.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.